Operator: Good day, everyone. Welcome to the Dolphin Entertainment, Inc. Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question and answer session. I would now like to turn the call over to your host, James Carbonara, Investor Relations. The floor is yours.
James Carbonara: Thank you, operator. Good afternoon, and thank you for joining us once again for Dolphin Entertainment, Inc.'s full year 2024 earnings call. Before we begin, I'd like to remind everyone that during the course of this conference call, management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could differ materially from actual events. Please refer to the cautionary text forward-looking statements contained in the earnings release published earlier today as well as the most recent SEC filings and reports. During the call today, management will also discuss non-GAAP financial measures, including adjusted operating income or loss. The company believes that these will provide helpful information for investors. Reconciliations to the most comparable GAAP measures are provided in the earnings release. Now, I would like to turn the call over to Bill O'Dowd, Chief Executive Officer of Dolphin Entertainment, Inc. Bill, please go ahead.
Bill O'Dowd: Thanks, James, and welcome everyone. As usual, I'll start by reviewing some of the key financial and operating highlights from our fiscal year 2024, and then Mirta Sanchez Negrini will provide a more detailed financial overview before we open it up for Q&A. So starting with the financials. We delivered strong financial performance in 2024, achieving 20% year-over-year revenue growth to just under $52 million. Crossing the $50 million threshold in revenue was a significant internal milestone for us, both pragmatically and psychologically. Furthermore, and perhaps even more importantly, we achieved positive adjusted operating income for the full year of fiscal and calendar year 2024. As I've stated many times on previous earnings calls, adjusted operating income is the metric by which we measure ourselves as it allows us to focus on operating results while stripping away non-cash and one-time expenses of which we have historically always had many due to our acquisitions. We believe that reaching positive adjusted operating income marks a significant milestone for Dolphin Entertainment, Inc. In Q4, we made strategic investments for growth, primarily with the launch of Always Alpha, and the expansion of the digital department. We are incredibly excited about these two companies which we believe will be both revenue and profit growth engines for Dolphin Entertainment, Inc. for the foreseeable future. And we believe that these short-term investments position us well for complementary skill sets and unique market offerings. Before diving into those growth catalysts for Dolphin Entertainment, Inc., let me not very delete Last month, Dolphin Entertainment, Inc. was recognized as the agency of the year on the 2025 Observer PR power list. We've mentioned our individual success on this power list many times over the years. So you can imagine how immensely gratifying it was that in the first year which our supergroup was complete, the collection of Dolphin Entertainment, Inc. PR agencies was named Agency of the Year across all industries in the entire country. Bam, baby. Alright. In marketing speak, we have tremendous cultural reach, which has proven to be attractive to our clients. Our weekly press releases frequently highlight this reach. Just in the first quarter alone, we shared our team's work at Sundance Film Festival, the Grammy Awards, the Super Bowl, the Oscars, Toy Fair, and South by Southwest. These are the major sports and entertainment cultural institutions in our country and we are at the forefront of multiple client campaigns and brand activation across all of them. Now I'll put it simply in Wall Street speak. A big part of the investment thesis of Dolphin Entertainment, Inc. is that we can leverage and monetize a unique collection of marketing companies that have unparalleled cultural reach. In order to do that, you have to first build such a unique collection of marketing companies. Over the past eight years, we have done just that. And the unique nature of our companies was immediately validated with the recognition of the 2025 Agency of the Year. And like a team competing in March Madness, we have taken a quick moment to celebrate the of our efforts over these past eight years and are already focused on our next growth opportunities. Let me highlight several of these now. First, Always Alpha. As a reminder, Always Alpha officially launched at the start of Q4 in October. It's the first-ever sports management firm solely focused on women's sports. The firm was founded by Alison Felix, the most decorated American track and field athlete of all time, alongside her brother, Wes Felix, and our fabulous CEO, Cozette Chapet. Backed by Dolphin Entertainment, Inc., Always Alpha aims to address outdated management models and support female athletes, broadcasters, and coaches in every aspect of their lives. Since that time, we're pleased to announce a groundbreaking joint venture with Deep Blue Sports and Entertainment in February of this year. We believe that Deep Blue, launched by Laura Currancy about a year ahead of Always Alpha, is the first advertising and brand services agency for women's sports. We believe that this partnership establishes the largest firm of its kind, revolutionizing the women's sports industry with comprehensive talent and brand management services. We look forward to further elevating women's sports through this historic collaboration. Earlier this month, we celebrated women in sports and International Women's Day by ringing the NASDAQ closing bell. The event, led by Dolphin Entertainment, Inc. and Always Alpha, featured, of course, Alison Felix and Cozette Chapet, along with Laura Carrenzi and prominent Always Alpha clients like Kayla Jeter and Keira Dixon. I want to take this opportunity to once again thank Nasdaq for this tremendous opportunity, which was a fantastic and fun day for all of us, and allowed us to highlight Always Alpha's ongoing commitment to elevating female talent and creating opportunities in women's sports. On a secondary note, but a very powerful one, the ceremony also showcased Dolphin Entertainment, Inc.'s leadership in empowering women across all of its subsidiaries. To honor and celebrate International Women's Day, we were proud to share that more than three out of four Dolphin Entertainment, Inc. employees are female. And every single one of our eight wholly-owned operating subsidiaries has at least one female CEO. And as I mentioned at the ceremony, our beloved CFO, Mirta Sanchez Negrini, is also female. Dolphin Entertainment, Inc. has an incredibly deep roster of female leadership and we are extremely proud of this fact. And speaking of strong female leadership, let me move to the digital department. Led by co-CEOs Allie Grant and Sarah Boyd, I'm excited to also highlight that this January, the digital department unveiled an exciting new division dedicated to affiliate marketing. With the affiliate marketing industry now valued at $17 billion according to Forbes, this expansion positions us to tap into a rapidly growing market and represents the last major service offering inside of influencer marketing to be offered by the digital department. Okay. So what exactly is affiliate marketing? In one sentence, affiliate marketing allows influencers to earn commissions from brands by generating sales of a brand's products or services through unique links. These links are placed primarily in an influencer's social media feed or on an influencer's website if they have one. The digital department's new division offers comprehensive support to creators, including sourcing the right products, optimizing content, designing visually compelling assets, and crafting newsletters to engage audiences. Our goal is to help creators turn their content into conversions and build sustainable long-term revenue streams. And, of course, the digital department earns its standard commission on the revenues achieved by the creators that we represent. Leading this division is Kate Steele, a recognized expert in affiliate marketing, who brings a wealth of experience and a proven track record. Kate has developed innovative affiliate strategies across leading platforms such as LTK, the Amazon influencer program, Collective Voice, and ShopMy. Those are pretty much the big four. She has worked with top-performing clients including Leanne Benjamin, Trina Bowman, Amy Hubner, and Stephanie Slater. Her expertise ensures that creators and brands can fully optimize their affiliate efforts, turning every opportunity into meaningful income. The launch of this division is very strategic and meaningful for the digital department. First, as noted above, it allows us to be one of the very few influencer marketing agencies in the country that offers services across all four major revenue verticals of influencer marketing. To recap, those four revenue verticals for us at TDD are representing talent for brand campaigns. That's number one. Number two, now representing talent for affiliate marketing campaigns. Number three, representing brands to create and execute their influencer marketing campaigns. And four, creating and executing influencer events, such as our branded and showrooms. It also allows us to represent creators in both of the principal ways they can earn money with their social media feeds. That is as brand ambassadors and as affiliate marketers. We consider the launch of this division to be air quotes, a big deal within the digital department and we will be excited to share key milestones of that division throughout the year. And no, contrary to all rumors, we have not signed James Carbonara to be an influencer. Now let's take a look at our ventures. First, our initial documentary with IMAX, the Blue Angels, returned to IMAX theaters in January, captivating audiences with a breathtaking 3D version that showcased its stunning visuals and immersive storytelling. Dolphin Entertainment, Inc. will share in the long tail IMAX Museum and other institutional theater revenues for years to come. And on another note, Blue Angels achieved a significant milestone by winning the Motion Picture Sound Editors Golden Reel Award for outstanding achievement in sound editing for a feature documentary. The movie is really, really good. If you haven't had a chance to see it yet, we recommend that you check it out. The 3D version in your local IMAX Museum theater. Circling back once more to Dolphin Entertainment, Inc.'s production roots, in association with aircraft pictures and photon films, we have completed principal photography for the feature adaptation of the 1986 cult sports drama, Youngblood. Directed by Academy Award nominee Hubert Davis, fun fact, Hubert is the son of a Harlem Globetrotter. So he likes tall people, and I like Hubert for that. The film reimagines the story of hockey prodigy Dean Youngblood for a modern-day audience. We shot the film in Toronto, Canada, with Ashton James and Blair Underwood leading a diverse cast. Produced with support from Telefilm Canada and other partners, this project highlights Dolphin Entertainment, Inc.'s expertise and reputation in high-quality scripted content for young adults and families. In terms of timing, expect to premiere Youngblood at one of the fall film festivals. We are aiming for the Toronto Film Festival in early September for obvious reasons. It'd be nice to premiere a hockey movie shot in Canada in Toronto. And we would hope to be able to announce a sale to a theatrical studio or streaming service partner shortly thereafter. Now the consumer products our interest in Rachael Ray's staple gin had a big win partnering with FreshDirect to launch exclusive holiday recipes blending delicious dishes with seamless ingredient delivery across New York, New Jersey, and Connecticut. The collaboration featured recipes like Negroni cranberry sauce, dirty martini shrimp and linguine, and lemon blueberry cheesecake with lemon gin sauce, all incorporating Staple Gin. We hope to have more announcements like this in the coming weeks, ideally for when we speak again on our Q1 earnings call. Lastly, in a space we are keeping a close eye on, as we announced this morning, Dolphin Entertainment, Inc. partner, Lodi.ai, expanded its advanced digital identity protection services making its powerful AI-driven reputation management tools accessible to everyone. Previously exclusive to high-profile celebrities, this technology now offers free and premium membership options for individuals, influencers, and professionals, to monitor and remove unauthorized content. With a reported 95% success rate and content takedowns within 17 hours, Lodi.ai addresses deepfakes, impersonations, and content misuse providing unparalleled protection in this digital age. And this expansion underscores Lodi.ai and Dolphin Entertainment, Inc.'s commitment to safeguarding digital identities for all users in an increasingly AI-driven world. And, of course, as you can imagine, those issues are very prevalent with our celebrity clients. Amid these exciting achievements and strategic initiatives, I would like to close by highlighting again that we have also made significant progress on strengthening our financial position. To summarize, we generated 20% year-over-year revenue growth to $51.7 million, demonstrating strong financial performance. We achieved full-year positive adjusted operating income for 2024, a significant milestone in the company's progress. And we launched major initiatives across subsidiaries, including the new affiliate marketing division here in Q1 of the digital department, and the continued investment in growth at Always Alpha in women's sports management. We believe we have built a powerful foundation for long-term value creation and are exceptionally well-positioned to capitalize on opportunities in 2025 and beyond. With industry accolades like being named the 2025 Agency of the Year by the Observer, we're clearly on the right track. I couldn't be more proud of our team, and I am deeply grateful for the ongoing support of our shareholders. With that said, we believe the best is yet to come for Dolphin Entertainment, Inc. And we also believe that our stock is deeply undervalued. Our revenues went from a little over $43 million in 2023 to a little under $52 million in 2024. We went from negative adjusted operating income of more than $2 million in 2023, to positive adjusted operating income of just under $1 million in 2024. That's a difference of over $3 million of adjusted operating income. And even with those achievements, we are trading below our last quarter's revenue. For that matter, we are trading below any of last year's quarterly revenue. Thus, on a personal note, to underscore that we believe our common stock is deeply undervalued, in the second half of last year, I purchased $100,000 of Dolphin Entertainment, Inc. common stock. And I have now started a 10b5-1 plan with an initial allocation of a quarter of a million dollars to purchase even more shares. This is intended to highlight my confidence in the company's future and my belief in the significant upside potential of our stock. I'll now turn it over to Mirta Sanchez Negrini to walk through the financials, and then we'll open it up for Q&A. Mirta?
Mirta Sanchez Negrini: Thank you, Bill, and good afternoon. I'll now review our 2024 financial results in more detail. Total revenue for the year ended December 31, 2024, was approximately $52 million, an increase of 20% over the same period in 2023. Adjusted operating income was approximately $900,000 for the year ended December 31, 2024, as compared to an adjusted operating loss of $2.4 million for the same period in 2023. Operating loss for the year ended December 31, 2024, was approximately $10.5 million as compared to an operating loss of $20.1 million for the year ended December 31, 2023. Operating expenses for the year ended December 31, 2024, were approximately $62.2 million, including depreciation and amortization of $2.4 million and nonrecurring expenses of impairments of goodwill of $6.7 million, $1.3 million to write off notes receivable, and $164,000 of acquisition-related costs. This compares to operating expenses for the year ended December 31, 2023, of approximately $63.2 million, including depreciation and amortization of $2.3 million and nonrecurring expenses of impairments of goodwill of $9.5 million, $4.1 million to write off notes receivable, $300,000 of impairment of intangible assets, and $116,000 of acquisition-related costs. Net loss for the year ended December 31, 2024, was $12.6 million, including depreciation and amortization of $2.4 million, interest expense of $2.1 million, and nonrecurring expenses of impairments of goodwill of $6.7 million, $1.3 million to write off notes receivable, and $164,000 of acquisition-related costs. This compares to a net loss for the year ended December 31, 2023, of $24.4 million, including depreciation and amortization of $2.3 million, interest expense of $2.1 million, and nonrecurring expenses of impairments of goodwill of $9.5 million, $4.1 million to write off notes receivable, $300,000 of impairments of intangible assets, and $116,000 of acquisition-related costs. Loss per share was $1.22 per share based on 10,306,904 weighted average shares outstanding for the year ended December 31, 2024. Loss per share was $3.39 per share based on 7,206,577 weighted average shares outstanding for the year ended December 31, 2023. Cash and cash equivalents were $9.1 million as of December 31, 2024, compared to $7.6 million as of December 31, 2023. In summary, 2024 was a year of significant financial progress marked by revenue growth, reduced operating expenses, and improved adjusted operating income. We look forward to continuing this momentum in 2025. With that, I'll now turn it back to the operator to open the floor for questions.
Operator: I will now ask the operator, would you please hold for questions? Certainly. The floor is now open for questions. If you have any questions or comments, please press star one on your phone at this time. To provide optimum sound quality. Please hold just one moment while we pull for questions. Your first question is coming from Allen Klee with Maxim Group. Please post your question. Your line is live.
Allen Klee: Yes. Hi. Congratulations on there's just so many things. I don't know. How to list them, but very impressive everything we're accomplishing. My first question is you noted that in the fourth quarter, you made some investments of growth. Can you talk a little about is there a way to quantify that? And is it something that you get a return on kind of in the relatively near term, or how do we think about that? Thank you.
Bill O'Dowd: Sure. Yeah. And thank you, Allen, for your kind comments. We feel like we're very blessed at the moment. And what in eight years. Right? Yes. The investments we've made were heavily in staffing to staff up and, of course, launch Always Alpha. The women's sports management firm, and we're already achieving revenue with Always Alpha here in Q1. And to be fair, we even received a little bit of revenue in Q4. But as you launch those businesses and you ramp up and you, you know, will be attracting clients throughout all of 2025 and for the rest of time, quite frankly. And it's going ahead of pace if I'm being, you know, honest about it. So it's going great but, you know, you'd make those investments in personnel and we'll be doing that throughout 2025. You know, we'll be adding managers to help us build entire rosters and different verticals for women's sports. You can imagine if someone were to guess where would we start, you know, the two most popular women's sports in the United States. The two with the most established long-term leagues, are soccer and basketball. Obviously, we have a great start on female athletes with Allison and Olympians. And then track and field athletes. But as we look to grow until full service, every vertical you know, first-ever women's sports management firm. We know how important it is to have a roster that includes those two sports. But it's a quick turn on an investment. Because, you know, you expect within a few months that the roster that's being coming in or as you expand your roster, you're building out meaningful revenue. So that was one of the investments we made in Q4. That company launched in October, of course, from a standing start. And then the other was the continued expansion of the digital department. You know, influencer marketing is the fastest-growing area of all of marketing. To our knowledge. Any type of marketing, whether we do it or not, and it's just been a growth engine for us. We'll continue to invest in the digital department. And then, obviously, this did not occur in Q4, but in Q1, you know, we launched the affiliate marketing services, and there's just another example of you know, you bring in a team of experts have a very short window of ramp-up in a world like that, and you're generating revenue very quickly. But you have to make the investment to hire the people first. Right?
Allen Klee: Got it. Okay. So both of anaphylactic So within social influencing, with the businesses you've added, does this I mean, you said last year this would be potentially at one point, you said it could be a quarter of your revenue. Just it could it maybe be more of that in 2025 with the additional businesses you're adding?
Bill O'Dowd: I think that's possible. Yes. I would say the 25% is almost certain. And in future years with the capabilities we're adding within the digital department, and just its growth rate, quite frankly. Whereas I thought 25% was a good target, it wouldn't surprise me if in a year or so it's at 30, 33%. It would be even more, but, of course, we're blessed with the fact that the other companies are growing too. So it's but it's just growing at a faster rate. An affiliate will only supercharge that. You know, affiliate's a really big deal. It's just not it's not understood wisely, but it's a very much a different service offering than traditional brand you know, ambassador work or getting paid to post and talk about a product. The fact that you can link and sell the product and get a commission on the sale is a whole different service. And different campaigns, different brands, and it has the potential to be very meaningful for us.
Allen Klee: For Affiliate, do you if you're talking to an influencer, do you talk to an existing influencer? You're basically upselling another offering or is it That's right. Okay.
Bill O'Dowd: Yeah. And it works, you know, from a how we earn revenue basis. It's they're exactly alike. You know, typically, you make a 20% commission on what your talent makes. So if Brand X hires our talented post three times, on Instagram in the next 30 days to support the launch of a new product and pays our inflows for $100,000. We get 20% of that. If a different brand comes in and says, hey, we've got a sale going into Memorial Day, on this great fashion accessory or this great tech product and we're selling it for $200 and we're giving it you know, if you have people purchase that through a link, we can attribute it to you, and we'll give you $40 of every sale. And, obviously, if a thousand people buy it, that's $40,000 to the influencer, and we get 20% of that. But that can happen in at scale. You know, that it's multiple products per influencer per day you could be doing. So know, at the high end, we have one talent that is doing hundreds of thousands of dollars a month. On affiliate revenue. And that's just, you know, it's it can you can do very well with it if you have a following that looks to you for recommendations of products to buy.
Allen Klee: It's interesting. And I guess this has to do with your influencing a team California and also some of your other businesses look I'm just curious of, you know, the devastation we had and you know, in the LA area. And any comments on, like, if that impacted you or how you're thinking about the result for that going forward?
Bill O'Dowd: Sure. No. Thank you for that kind. Reference to that. Well, it impacts us very much when you think about your people. Right? We were very fortunate. We had a good number of people, I'd say, probably pretty close to fifteen twenty of our staff in LA had to evacuate. But we count our blessings that none of our folks lost a home. Close in one or two cases and but fortunately, no one was left homeless. We have many friends and colleagues in the industry that lost their homes. We know many people living in both the Palisades and Altadena. So our prayers go out to them. And terms of a financial impact it had some, It did in Q1. Unfortunately, And both the fires were eventually contained and you know, events challenge, and other aspects, you know, came back to life. It severely impacted January and February on those types of in that type of business. But by the time we got back to the Oscars, you know, the town was operating mostly at normal. So it's a Q1 event for us, but it's not longer than that.
Allen Klee: That's great to hear. Okay. And then with just if you could mention a little bit with the door of what you did mention a roster of chef and lifestyle talent for 2025. Should Is it and you brought in DSRPT agency. Could you talk about kinda how you think about how or what your plans are for the door going forward?
Bill O'Dowd: Yeah. And you're stealing my thunder a little bit. Alan, because I was saving that for our Q1 earnings call, but I'll say it here too. I mean, the disrupt agency which is how Adrian pronounces it, you know, Adrian Jefferson's founder and it's a force of nature. You know, I had to I had the pleasure to get her to meet her through this process and be able to visit with her a few different times, including at the NASA ringing the bell ceremony. And you know, we need to give her her props too. You know, we make a big deal and it was a big deal quite frankly that we were named the agency of the year. Right? I that's a there's only one power ranking in our industry, and that's it. And on the PR side and you know, our group of PR firms are exceptional and was great to be recognized. With that said, in the power ranking, there was a boutique agency in the top ten. And that boutique agency was the disrupt agency. You know, founded by Adrian. And, you know, the ranking had been solidified. We didn't know it you know, what the rankings were, but they were going to publication and we knew we had the blessing of having Adrian and her boutique team join us at the door. And so Disrupt at the Door is Adrian's tremendous client list. She's across many cultural and consumer products type companies. Many elevating and celebrating, you know, African American heritage. And it's just a real blessing. And truly adds in every way to the diversity of our roster. So that was a big deal for us too, and we felt like, well, we'll talk a little bit about our power rankings on this call and some of the great things that have happened here at the end of the year and into the new year. But on the Q1 earnings call, we'll try and give a spotlight shine a little bit. That would be one of our highlights because that's a it's a real nice addition to the door. And you know, that business you know, the doors now at least couple years removed from the impacts of COVID, which obviously devastated the restaurant hospitality and they're coming back very nicely. And Charlie and Moe's are great leaders for that company.
Allen Klee: That's great. Thank you. It was exciting to hear about Youngblood. I'm gonna ask questions you can't really answer, but is it kind of like to think or the timing of it, it sounded like if everything goes right, we might be able to announce some type of sale at the end of 2025? I know these things are hard to actually forecast confidently, but But in terms I mean, it's in terms of how you're thinking about the size of the movie, this is not gonna be a documentary. It's I'm trying to think of you think of should we think of, like, the potential opportunity similar to Blue Angels or maybe different?
Bill O'Dowd: Yeah. It's a fair question. You know, Youngblood's special to us too. Another one that I'll highlight Q1 since we started filming in Q1. Here, you know, it marks our return to scripted movies as opposed to documentaries. Right? So our fifty fifty partner with IMAX allowed us to launch documentaries. Obviously, the Blue Angels was our first one. It did extremely well for us last year. As we reported, and now it's back in theaters now. So that long tail, we're gonna enjoy for quite a while in those museums. Youngblood is our first scripted project since we started buying the marketing companies. You know, it is our legacy at Dolphin Entertainment, Inc. It's what we did when I started the company in 1996. Scripted television and then digital and then features. Right? And it really does feel like our reemergence into that world where we're known most known, I would think, for our almost decade-long partnership with Nickelodeon. And the You space, the family space and young adult space. And Youngblood's just that perfect project that it stars a youngblood that is eighteen, nineteen years old in the movie. And it's a great feel-good movie. It's one of those classics. You know, hockey, there aren't a lot of sports movies made generally, but hockey has the least of all. I think if people were pressed to name hockey movies, they'd probably name Slapshot, Youngblood, Miracle, and the Mighty Ducks. That's four movies in Top Shot was in the 1970s. So you know, you get a hockey movie about every twelve years. So to be able to purchase out of MGM's library and remake Youngblood for a modern audience It's a movie that we felt could be updated very very nicely. And hockey's changed a lot. You know, that movie came out with Rob Lowe and Patrick Swayze in 1986. Well, I don't remember how many teams were in the NHL then, but it's probably about half of how many are now. There's thirty now. There certainly wasn't a team in Miami, Florida where I'm born and raised, and or the desert Phoenix, Las Vegas. They didn't have teams. Right? So the sports grown more popular, and we have the chance, and we'll talk a little bit more about this in Q1, know, we'll have the chance to hopefully premier it at the Toronto Film Festival where we think we'd get a very good reception since we shop movie there, and it is a hockey movie after all. In Canada. And then, you know, we'll see if we can get it released in Q1 of next year. We have a lot of marketing advantages to do so. At least of which is we'd be in hockey season. So talk some more about that on Q1. But, yeah, we're excited about that movie and we'll have you know hopefully, it marks the start of a return to production that I know a lot of people have been looking forward to.
Allen Klee: Okay. Just in terms of other on the venture side, is there anything like I know Stapleton is private, but are you just feeling how are you feeling about you know, how that's going?
Bill O'Dowd: Well, we feel good about Staple. You know, Staple's probably ready for the expansion to more states. It is a private enterprise that we have a share in. Right? So, you know, I know the management there that we obviously are the marketing partner in and adviser for. Is getting ready to go to market to secure the ability to go into those more states because it's doing well. So that's exciting. And I do expect that's you know, as I mentioned, we hope to have another announcement on that and just, you know, six weeks. Right? This is the short stretch, right, between this earnings call and the next one. I do think that we'll have more liquor and liquids to talk about as ventures. You know, the skincare is something we're very excited about. And working with to identify. I know we had hoped we could do something this year in that space as well. And then we're always on the lookout for other ventures. We have a couple in mind that, you know, a little too premature to talk about, but we'll see where we are this spring or summer. And take those, you know, five, ten, fifteen, sometimes more. Ownership stakes in something that, you know, we can market and market effectively. So feel good about it. You know, I will say that a lot of our management focus has been on the growth of always alpha and the digital department. But, you know, ventures are top of mind as well.
Allen Klee: Okay. Great. I think that those are my questions at this point. Congrats again.
Bill O'Dowd: Thanks, Allen. We really appreciate it.
Operator: There are no additional questions in queue at this time. Would now like to turn the floor back over to Bill O'Dowd for any closing remarks.
Bill O'Dowd: Oh, wow. Well, you know, I was reflecting on this call and, you know, the completion of the group of companies that we were able to assemble and think about the journey from eight years ago from this Sunday. That's when we bought and brought into the family Forty Two West. And you know, followed by the door and followed by ShoreFire. Followed by B Social and followed by Social Like the Merge and followed by BHI. Know, followed by Special Projects, followed by L, and the launch of Always Alpha. And here we are. Eight years later and one huge recognition later. I mean, like, a guy that grew up playing basketball and played college basketball, and I know what the top twenty-five rankings mean. Creighton, when I played for us, never made it to number one. And so to have the number one group of PR firms in the country I don't want that glossed over. That's quite an achievement. And for the leaders of each of those companies and everyone that works there. That's across, like I said in my prepared remarks, all industries in the entire country. So obviously, there's some subjectivity to those lists. We're humble enough to know that, but you also have to be in a position to where you could be considered to be the best in the country. And I do think that those agencies deserve that opportunity. And it's very gratifying sitting here to have that as the tailwind into the next phase for Dolphin Entertainment, Inc. Like I said in the prepared remarks too, you get, like, one night to celebrate, and then you're back to work. And you know, we're gonna grow this company. And we're gonna invest in people and opportunities that we see. Such as affiliate marketing, such as women's sports, and the growth that I think our primarily female leadership is gonna offer to us. Across each of our companies. And we'll be judicious and good stewards of our opportunities both internally and then with the ventures but we just have too much potential. And we're excited for this phase of Dolphin Entertainment, Inc. We've built the group. Now let's have some fun with the group. Right? So thank you. To those who've followed us, especially for the handful that have followed us since 2017. And we look forward to the next call and on to 2025. Right? So thank you, everybody.
Operator: Thank you. This does conclude today's conference call. May disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.